Operator: Good morning, and welcome to IPG Photonics Third Quarter 2022 Conference Call. Today's call is being recorded and webcast. At this time, I'd like to turn the call over to your host, Eugene Fedotoff, IPG's Director of Investor Relations for introductions. Please go ahead, sir.
Eugene Fedotoff: Thank you, Rob, and good morning, everyone. With me today is IPG Photonics CEO, Dr. Eugene Scherbakov; and Senior Vice President and CFO, Tim Mammen. Let me remind you that statements made during the course of this call that discuss management's or the company's intentions, expectations or predictions of the future are forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause the company's actual results to differ materially from those projected in such forward-looking statements. These risks and uncertainties are detailed in IPG Photonics' Form 10-K for the period ended December 31, 2021, and our reports on file with the Securities and Exchange Commission. Copies of these filings may be obtained by visiting the Investors Section of IPG's website, or by contacting the company directly. You may also find copies on the SEC's website. Any forward-looking statements made on this call are the company's expectations or predictions as of today, November 1, 2022, only. The company assumes no obligation to publicly release any update or revisions to any such statements. For additional details on our reported results, please refer to the earnings press release, earnings call presentation and the Excel-based financial data workbook posted on the Investor Relations website. We will post these prepared remarks on our Investor Relations website following the completion of this call. With that, I'll now turn the call over to Eugene Scherbakov.
Eugene Scherbakov: Good morning, everyone. We continue to see upward momentum in our emerging growth products in the third quarter. We saw the strong results in welding, cleaning, solar cell manufacturing, medical and 3D printer applications. These were offset by several headwinds and including unfavorable currency translations, weaker economic conditions in Europe and core-related lockdowns in China. Softness in general industrial demand in Europe and China negatively impacted sales in high-power cutting applications. At the same time, we saw modest growth in North America, and we are pleased it is continued to increase e-mobility sales driven by new investment in electric battery capacity across all geographies. Emerging growth product sales were 43% of our total revenue in the third quarter. Many of these products are benefiting from global macro trends such as e-mobility and automation as well as increased focus on sustainability, renewable energy and energy efficiency, most specifically the sale record sales and A&B lasers, driven by growth in EV battery and welding. We also saw strong demand in our green lasers for solar cell manufacturing applications. This market is rebounding, driven by increasing investment in renewable energy solutions globally. Additionally, the revenue for lasers used in cleaning applications, which provides sustainability benefits by reducing use of abrasives and chemicals, grew significantly this quarter. In August, we announced the sales of our telecom transmission business to Lumentum as this business required additional investment and was noncore to IPG. This divestiture had only a minor impact on sales, but will meaningfully reduce our operating expenses going forward. I believe that the sales of telecom business and decision to exit our Cinema business will allow IPG to focus R&D and other resources on core growth opportunity such as e-mobility, welding and medical. Now I will go over each of these core opportunities in more details. We had another great quarter in EV applications as revenue and orders increased across all geographies. There are additional investments into EV battery plant in Europe and North America, and we are seeing increased activity in the U.S. during the recently announced government incentives. Third party estimates suggest that the global lithium ion battery capacity will triple by 2025, and may reach 6 terawatts by 2030, a sevenfold increase compared to the 2021 level. This growth in battery capacity presents a significant addressable market for our lasers. To focus on global EV opportunities, we implemented some organization changes, and increased our sales and marketing capabilities. IPG has a leading position in welding and foil cutting applications for EV batteries. We offer a broad range of solutions to customers from laser sources to complete production lines for existing and emerging battery technologies. We sold several complete system and production lines to R&D and some experimental battery production in the quarter. We continue to introduce and are seeing the strong initial demand for our picosecond ultra and ultra-high power pulse lasers. IPG recently increased its production offering in e-mobility applications with new QCW and [indiscernible] lasers, which offer excellent performance and displays green and blue laser solutions that cost more and are more complicated to integrate. We continue to explore additional opportunities in foil cutting and electric motor assembly. The adoption of IPG [indiscernible] delivery and real-time reading monitoring software has been very successful in e-mobility applications. The related revenue accounting for approximately 20% of our total sales in quarter, up from 10% in 2021 sales. We expect that EV investment cycle to continue and e-mobility sales to remain strong in the next 3 to 5 years, despite the less favorable outlook for the global economy and the [indiscernible]. This was another record quarter for welding revenue that benefited from growth in electric vehicle batteries, but also growth in LightWELD. LightWELD still on other parts of our growth trajectory, rapidly increasing the sales in orders globally in the market dominated by non-laser technologies. [indiscernible] received CE marked and state started to selling the LightWELD in most the larger European countries in the third quarter. We have established distribution partners and continue to see a high interest from the welding community during the trade shows. LightWELD [indiscernible] to for small and midsized fabricators that brings easy to use for welding process. Additional IPG is also working with automation companies to introduce a LightWELD combinations that helps customers to implement automation of welding processes at a relatively low cost. Our medical business also had another record quarter, with revenue increasing more than 70% year-over-year, and showing the continued growth in bookings. Our thulium lasers and consumable fiber for urology applications, which are considered a new global standard, continue to replace laser, rapidly gaining adoption in the urology market. As we grow the number of installed units, recurring revenue from consumable fiber is also growing. I am pleased to see that we are well ahead of our target to double the business in 2, 3 years as our medical revenue should approach $70 million this year, up from $43 million last year. Before I turn the call to Tim, let me provide the update on our operations in Russia. During the first 9 months in 2022, we managed to navigate the complex and evolving regulations, including sanctions without material disruption to our ability to meet customer demand. We are continuing to increase manufacturing capacity and build safe stock of critical components in the United States and Europe. In addition, we have started to purchase many less critical components from third parties that were qualified early this year. Recently, the EU has announced the new package of functions and new license requirements, which place even more limitations on trade with Russia, essentially curtailing our ability to import components to our European facility and export items to our Russian facility, effective early January of next year. We believe that the contingency plans we are executing will enable us to eliminate our dependence on the Russian production before the new European sanctions [indiscernible] effect. We will continue to monitor the situation closely, and with our Board of Directors, are assessing the strategical options to our Russian facilities. I will turn the call to Tim to discuss financial highlights in the quarter.
Tim Mammen: Thank you, Eugene, and good morning, everyone. My comments generally will follow the earnings call presentation, which is available on our Investor Relations website. I will start with the financial review on Slide 4. Revenue in the third quarter was $349 million, a decline of 8% year-over-year, primarily due to foreign currency headwinds, which accounted for approximately 7% of the decline. We also saw lower sales in China, Europe and Japan, primarily in general industrial applications. Our sales in North America was slightly higher year-over-year. Revenue from materials processing applications decreased 10% year-over-year, and revenue from other applications increased 10%. GAAP gross margin was 43.1%, a decrease of 590 basis points year-over-year due to increased cost of products sold, higher inventory reserves as well as higher shipping costs and tariffs. We did see slightly better absorption of manufacturing costs in the quarter as we continue to increase our inventories of safety stock. In the long term, we remain committed to our gross margin target of 45% to 50%. If exchange rates relative to the U.S. dollar had been the same as 1 year ago, we would have expected revenue to be $26 million higher and gross profit to be $14 million higher. GAAP operating income was $93 million, and operating margin was 26.7%. Net income was $76 million or $1.47 per diluted share. The effective tax rate in the quarter was 21%. Foreign currency transaction gains related to remeasuring foreign currency assets and liabilities to period-end exchange rates only had a minor positive impact on the operating expenses of less than $1 million. At the same time, we had several unusual items in the quarter. There was a $22 million or $0.32 per diluted share gain on the sale of the telecom transmission business, and $1 million or $0.01 per diluted share restructuring charge related to shutting down the remaining telecom business. Excluding the currency transaction gain, gain on sale of assets and restructuring charge, operating expenses declined year-over-year, primarily in research and development as we reduced spending on telecom product development following the sale and restructuring of the business. We are also looking at ways to further reduce our expenses, including sale of the corporate aircraft and 2 underutilized buildings. Freed up resources will be available for activities that are core to our strategy. Moving to Slide 5. Sales of high-power CW lasers decreased 14% and represented approximately 44% of total revenue. Sales of ultra-high power lasers above 6-kilowatt represented 45% of total high-power CW laser sales. The decline was primarily due to lower demand in cutting applications in China and Europe as a result of lower economic activity that negatively impacted demand in general industrial applications. Pulse laser sales decreased 6% year-over-year due to lower demand in cutting and marking applications, partially offset by strong sales into solar cell manufacturing and cleaning applications. System sales increased 10% year-over-year, driven by growth in laser systems and higher sales of LightWELD. Medium power laser sales decreased 16% and while QCW laser sales were down 30% year-over-year, negatively impacted by lower sales to consumer electronics applications. Other product sales increased, driven by record sales in medical applications. Looking at our performance by region on Slide 6. Revenue in North America increased 1%, driven by growth in cutting, welding and medical applications was offset by lower sales in non-laser systems as well as the telecom divestiture. In Europe, sales decreased 13% as a result of lower demand across all major materials processing applications and the weaker euro. Customers are delaying projects as a result of high energy costs and economic uncertainty in Europe. However, e-mobility orders remained strong despite overall softness in the economy. Revenue in China decreased 14% year-over-year as growth in welding for EV battery applications and 3D printing applications was offset by COVID-related lockdowns, continued softness in the cutting market and currency headwinds. Moving to a summary of our balance sheet on Slide 7. We ended the quarter with cash, cash equivalents and short-term investments of $1.2 billion and total debt of $16 million. Cash provided by operations was $76 million during the quarter, and capital expenditures were $25 million in the quarter. While continuing to maintain a strong balance sheet, we have returned a significant amount of capital to shareholders with our ongoing stock repurchases this year. During the quarter, we repurchased shares for a total of $71 million. Most of the repurchasing in the third quarter happened in the second half of September as we had a cooling off period between our 10b5 programs. We continued to repurchase shares in October. Since the beginning of the year, IPG has repurchased shares for a total of $383 million as of the end of the third quarter and approximately $440 million year-to-date. Our CapEx has been trending below our initial expectations, and we will likely finish the year at approximately $110 million, well below our previous guidance of $130 million to $140 million. As Eugene mentioned earlier, we are assessing strategic options for our Russian operations. In addition, we are evaluating the effect of the new sanctions on our ability to recover the value of our working capital and long-lived assets located in Russia. As of the end of the third quarter, we had approximately $44 million in cash and short-term investments and approximately $150 million in working capital, including $116 million in inventory in Russia. The net value of long-lived assets in Russia is approximately $95 million. Moving to outlook on Slide 9. Third quarter book-to-bill was slightly above 1. We saw further moderation in orders in Europe as well as reduced bookings in China, primarily due to softening macroeconomic conditions, which impacted demand in general industrial markets. However, we are seeing continued strong orders in e-mobility and medical applications as well as more stable operating conditions in North America. We continue to benefit from growth opportunities created by major macro trends, such as electric vehicle battery manufacturing and renewable energy. In addition, LightWELD and medical sales further diversify our revenue. We believe these trends and diversity will enable us to weather downturns in the economy with greater resiliency. For the fourth quarter of 2022, IPG expects revenue of $300 million to $330 million. Company expects the fourth quarter tax rate to be approximately 25%. IPG anticipates delivering earnings per diluted share in the range of $0.70 to $1, with approximately 51 million diluted common shares outstanding. Continue to expect currency headwinds and estimate that the fourth quarter revenue guidance range is reduced by about $20 million due to the strength of the U.S. dollar in the current quarter as compared to the fourth quarter 2021. As discussed in the safe harbor passage of today's earnings press release, our guidance is based upon current market conditions and expectations, assumes exchange rates referenced in our earnings press release and is subject to risks outlined in the safe harbor and the company's reports with the SEC. With that, we'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: Two questions. The first question just relates to gross margins. And, Tim, I'm wondering if you could talk to some of the factors that might have contributed to the gross margin coming in a little below the expectations for Q3. I assume some of that's volume driven, and also how we might think about gross margins in the current quarter? And I have a follow-up.
Tim Mammen: Thanks, Jim. Gross margins were a little bit lighter in the quarter. We did come in at the bottom end of the guidance range, and even so we're slightly below the -- I think we guided 44% at the bottom end of the range. You still got a lot of different challenges out there in terms of shipping costs, some higher import duties. Certainly, the foreign currency headwinds are impacting us. If you looked at, say, average selling prices in Europe, Japan, Korea, other areas where we're selling in local currency, they were down slightly interestingly due to mix. They were relatively stable in China. But when you couple that with 50% of our manufacturing costs actually being in the U.S., there's a headwind related to that. The relative strength of the ruble also is playing through the business model a little bit at the moment for those challenges there. And then, again, relatively speaking, and compared to a year ago, inventory reserves in the quarter were still at elevated levels given the relatively high level of inventory that we're carrying at the moment.
Jim Ricchiuti: And just given all that, any color you could provide on how we might think about gross margins given these moving parts for the -- in the current quarter?
Tim Mammen: Yes. Sorry, that is in the financial presentation deck. We've got 42% to 44% is assumed in our guidance range.
Jim Ricchiuti: No, no. It's my fault. Spot of it. Just a follow-up question is just -- and I don't know if you can answer this. Obviously, the COVID lockdowns had an impact on sales in China. And I guess what I'm trying to find out is maybe better understand is, with the non-cutting business in China have been up excluding those lockdowns. I don't know if there's any way for you to talk to that, just the overall health of the business in China, excluding cutting, and if there's a way to talk about the impact of lockdowns?
Tim Mammen: Yes. So certainly, on a year-over-year basis, the non-cutting business was significantly up in China and cutting was quite a bit weaker than it was in Q3. Our view is that the COVID lockdowns are more impacting the industrial end market demand that would drive some of that cutting, whereas some of the other macro trends around EV or the share gains that we have around additive are generally pretty positive trends. Foil cutting was just because of the timing of projects was a little bit weaker in Q3 compared to Q2. I can't quite remember where it was a year ago, but that's really just the timing of orders rather than any competitive dynamics on the foil cutting projects.
Eugene Scherbakov: By the way, when we are talking about cutting, first of all, we are talking about the metal-cutting not foil gate. Foil crating business is growing, stable online side because it's a different kind of applications, not a standard of foils, but we have to separate. Standard starting with metal cutting and foil cutting which we are using for [indiscernible].
Operator: Our next question comes from Ruben Roy with Stifel.
Ruben Roy: First, for Tim. Tim, can you maybe just talk a little bit about how you're thinking about OpEx in this environment as we look out over the next couple of quarters. We've got the telco asset divested and just thinking about the macro and the currency headwinds. Any color you can give us on how to think about spending, that would be helpful.
Tim Mammen: Yes, I think we've got some guidance on OpEx for the quarter, which is the range of, I think it was $78 million to $79 million. So relative to the run rate that we had at the beginning of the year, it's down by $5 million to $6 million. Some of that benefit is really on the telco side of things. But we also referenced some of the other actions, they're not necessarily OpEx, but the major thing we're looking at is disposal of our corporate aircraft, and that would bring then some additional benefit to G&A into 2023. And Overall, we were also looking at some of our relatively underutilized facilities, that's not just going to be an OpEx side of things, the depreciation on that is both in cost of sales and some of it would be on the sales and marketing side. So we're being very disciplined around what we're doing, but we're freeing up resources that can be invested in core R&D projects that we think have a better chance of driving returns and are closer to what we're doing and also freeing up resources for investing in sales and marketing. So it's not -- we're trying to manage expenses well, but we're also cognizant of the fact that you need to continue to invest in these areas in order to achieve the growth targets that we have for the medium and long term.
Ruben Roy: Right. I appreciate that detail. That's a good segue for my follow-up, which is around medical, it's great to see the progress there and almost doubling revenue this year, it looks like, versus last year. How are you sizing that market sort of longer term? How should we think about the opportunity there? And is it mostly urology? Or are there other areas of potential opportunity from a competitive displacement perspective? And any other markets that you could talk about around medical, and how to think about the TAM longer term, that would be helpful?
Eugene Scherbakov: Of course, we are thinking about the different other applications or laser because in principal now the main -- our revenue from business is from special thulium lasers, but there exists, of course, different other [indiscernible] lasers, which can be used for many potential medical applications. Of course, we are thinking about this. We are also discussions some interesting projects to penetrate or to integrate our fiber laser to existing applications, medical applications. There is a big opportunities to penetrate with fiber laser technology to the medical applications, definitely.
Tim Mammen: In terms of the market, I can just give you some detail on that, Ruben, the total medical market is about $5 billion, but it includes a significant proportion of esthetic applications. The market for surgical is about 20% of that or $1 billion, and that's the area we're primarily focused on. The interesting thing about this, I think, like most medical end markets is that the growth rates are expected to be fairly robust, so in excess of 10% per year. And then the other aspect we like to the business is that there is a consumable fiber that generates a recurring revenue as we deploy more systems into different applications.
Operator: Our next question is from Michael Feniger with Bank of America.
Michael Feniger: I apologize, Tim, that you addressed this earlier, just trying to understand the puts and takes. So there's a transition of the footprint reducing dependency in Russia to U.S. and Germany. That's always been part of the plan that you guys have kind of outlined earlier this year. You then mentioned this increasing sanctions, I believe, in January 1, and assessing strategic options. So what are the strategic options to explore that we need to kind of consider by January 1? Is this a new development relative to the last call? And is there any shift in the time line on the contingency plans that you guys outlined early this year? Just trying to flesh out some of these moving pieces.
Tim Mammen: Yes. No, this's a change given the change in the EU sanctions. So we're evaluating various strategic options. We're not ready to talk about those at this point in time related to the Russian operations. But the level of business, the Russian operations is going to be able to carry on coming into the new year will be significantly reduced. So we need to look at the cost structure and what to really do with our business and how to, as best as possible, realize value from it. In terms of the contingency planning, we've stated quite clearly through a combination of either increasing capacity, building inventory of critical components or qualifying third-party sources of supply for less critical components that we believe that we will be able to -- we're confident we can manage through that situation. We're looking at these strategic alternatives over the coming weeks and probably a couple of months, and we'll be able to provide a more detailed update, the latest during Q1, depending upon what we evaluate as the outcomes or the strategic alternative that we choose to pursue.
Michael Feniger: Understood. And the Q4 margin guide, the gross margin guide, is that still with you guys producing in your Russia facility? Or is that starting to take into apart some of this transition of ramping where production in Germany and the U.S.?
Eugene Scherbakov: Definitely, yes, because we start already the mass production in the United States, also in Europe such kind of components. Of course, it's a little bit decrease our gross margin. But taking in mind that we're not only making some expansion of our production. Every time, I'm also thinking about how we can optimize this production manufacturing of some of components. This is why, by installing this production in Europe, we demonstrated the much more optimally -- optimal conditions and much more optimal result, I mean, from the effectivities of this production. And the next step will be to introduce the automation for production of some components. And I think it will be our goal to next year indeed. And we would like to expand our R&D activity in this area. And in principle, our the main goal will be transposed as much as possible automated production of mass components, which we are using for our fiber laser production.
Michael Feniger: Understood. And just if I could squeeze 1 more in, just when we think of the seasonality of the business, do you -- does the business seasonally build in Q1 off of Q4? Or do we kind of start the year softer and build through the year? I understand it's way too early to talk about 2023. Just conceptually, when we think of how the business typically move seasonally from Q4 to Q1, if there's anything you kind of want us to think about, Tim, as we kind of try to get a starting point for next year?
Tim Mammen: Yes. The problem was seasonality. At the moment, over the last 2 or 3 years, it's been really, really difficult to pick it. In general, when you do have a weaker Q4, you generally expect to see Q1 -- it can be flat to slightly up on that. Relative to a weaker Q4, you can have a stronger start to the year. It was interesting because our Q3 book-to-bill, as I mentioned, was slightly above 1, right? And relative to that, the guidance is a bit weaker. So we actually have, for example, in China, bookings were actually -- they were down year-over-year, but they were actually reasonably strong relative to their guidance number they've given us. So they actually have, for example, some EV projects, which they've got orders for that are expected to be delivered in the first half of next year. Some of them would be in Q1. We took a lot of orders for medical as well that would sort of help to the beginning of the year. But right now, it's a bit difficult to give you a definitive answer on that. I think if you go back and look at the trends on the quarters, you'll be able to see where they stand out. I mean the other big thing that's impacting Q4 is the exchange rates, right? So I think, at the moment, the view is that the dollar is going to remain relatively strong versus the euro and the Chinese [indiscernible]. The Japanese yen is very weak at the moment. So there's -- I don't see the currency headwinds abating right now in the first quarter. But it's going to depend upon, obviously, where monetary policy goes in the different regions around the world.
Operator: Our next question comes from Mark Miller with the Benchmark Company.
Mark Miller: Could you tell us some of your sales from recently introduced products?
Tim Mammen: They were 43%.
Eugene Scherbakov: 43%.
Tim Mammen: 43% of total sales.
Eugene Scherbakov: Yes.
Mark Miller: That's a pretty good jump from the last couple of quarters. Interest expense jumped up. I'm just wondering what's going on there and what we should -- how we should think about that going forward, [indiscernible], sorry.
Tim Mammen: Yes. I mean that's basically because of the yield that you're getting on cash and cash equivalents and short-term investments going up, so probably on a weighted average basis in because interest rates carried on going up, you'd expect to see some small increase in that coming into Q4 as well.
Operator: Our next question comes from Hans Chung with D.A. Davidson.
Hans Chung: First, can you elaborate on the weakness in post later in the third quarter? What drove the sequential and year-over-year decline?
Tim Mammen: As we said, slightly down in the third quarter on oil cutting. It was strong on cleaning applications, which would be in the high power levels. So -- and then marking engraving, which would be consumer electronics related, was also weaker compared to Q3 last year, actually, marking engraving in I think the second and third quarters last year was actually very strong, even though we compete with local suppliers in China for consumer electronics because of the reliability of our lasers. Demand in consumer electronics this year has been pretty weak.
Eugene Scherbakov: By the way we are talking about the cost lasers, please take into consideration, power, you're not talking about, it's from 10 watts, I mean, average power, up to several kilowatts. Of course, a small power pulse lasers, our revenue a little bit less in comparison to the previous quarter. But for high power, I mean, from past average power more than 1 kilowatt is growing very fast. First of all, we demonstrated a very brilliant result concerning the cleaning applications, but also for foil cutting, special foil cutting, and also start to use our high-power fiber laser. It's very important for the future growing our business in this area.
Hans Chung: Great. That's helpful. So in terms of 4Q guidance, can you provide some color around the trends of the sequential change by application, like which segment will be done the most, which will be more resilient?
Tim Mammen: We don't get into guidance by applications and trends at all. And we do give some color around regions. I mentioned that relative to China order flow their Q3 revenue is a little bit lighter than Q3. Europe still got currency headwinds and the weakness. I think the North American business looks relatively resilient. [indiscernible] got a reasonable guide from revenue on Japan on the back of good order flow from Japan and relatively stable situation in Korea, but we just don't get into it on a the granular level of guidance by application.
Hans Chung: Got it. That's fair. So one last, if I may. Just wondering why the gross margin in 4Q solar holds steady from a sequential basis, while we see 10% decline in revenue. So I just wonder if anything helped to -- on the gross margin side?
Tim Mammen: No. I mean I factored in there even some quite high inventory provisions. Didn't change assumptions fundamentally around things like product cost of sales or import duties and tariffs. So we'd be expecting sort of relatively speaking, good absorption of costs and relative to the revenue level good cost management relative to total output and production. So I think it's a reasonably conservative guide even where I take your point, the revenue is down, it's a reasonably conservative guide on gross margin still.
Operator: [Operator Instructions] Our next question comes from Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: The follow-up question I had is just with respect to the orders in Europe and in North America as you went through the quarter, just given concerns people have about the slowing macro environment. Is there any -- did you notice any change in customer behavior as you went through Q3 in those regions?
Tim Mammen: Yes. I think, in Europe, I mean, Jim, it's reflective of where the guidance number is that we got from Europe, but it is certainly weaker there. It's interesting. We actually saw a big pickup in orders coming into the end of the quarter. The other issues in Europe like August is never a good bellwether for what's going on because it's the middle of summer. If anything, overall, the quarter started weak globally and then saw some improvement into September and actually total orders booked in the last few weeks of September were exceptionally strong. I have pointed out that some of that is like medical and EV that's going to benefit us at the beginning of next year and it's not driving the guide on Q4.
Jim Ricchiuti: Got it. And I also wanted to ask a quick question just because it seems like you're seeing really nice traction with Light weld. And I wonder if you would talk to what the contribution in broad terms through the first 9 months has been for that product line, and maybe how you see the growth over the next year? It sounds like you're getting some very nice traction in the market with this.
Eugene Scherbakov: Yes. As we mentioned in our presentation, we already received the certification from -- for Europe and we start of sales, our system in Europe countries in different Europe countries. But also, we have very strong sales, not only in the United States, but also in Japan. In Japan and very good sales with the systems. And taking in mind that it's also possible to integrate this LightWELD. It's open for us new opportunity to this business. Our estimate is that we have to minimum double our business next year in comparison to this year. And then in 3, 5 years, we may prognose that our business is growing and for this application, definitely. What kind of percentage of growth, it's difficult now to make this forecast. But next year, definitely our business will be [indiscernible].
Tim Mammen: Quantitatively, Jim, I mean, we're approaching a $10 million a quarter run rate and in revenues growing at sort of 80% year-over-year and sequentially very robustly as well. So the product continues to get very, very high marks and acceptance from the end market.
Eugene Scherbakov: And also very important because we are not using the only 1 model. Every practically -- every quarter, we introduced a new models. There are some special options like cleaning or a single [indiscernible] laser inside that also demonstrated much better welding results or cleaning results to our customers. It's also important. We are not staying only with one product.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Eugene Fedotoff for closing comments.
Eugene Scherbakov: Thank you for joining us this morning and for your continued interest in IPG. As always, we'll be participating in a number of investor events this quarter and are looking forward to speaking with you over the coming weeks. Have a great day, everyone. Bye.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.